Operator: Good day and welcome to DigitalBridge Group, Inc Second Quarter 2024 Earnings Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this conference is being recorded. I would now like to turn the conference over to Severin White, Head of IR. Please go ahead.
Severin White: Good afternoon, everyone, and welcome to DigitalBridge’s second quarter 2024 earnings conference call. Speaking on the call today from the company is Marc Ganzi, our CEO, and Tom Mayrhofer, our CFO. I'll quickly cover the safe harbor. Some of the statements that we make today regarding our business operations and financial performance may be considered forward-looking. And such statements involve a number of risks and uncertainties that could cause actual results to differ materially. All information discussed on this call is as of today, August 7th, 2024, and Digital Bridge does not intend and undertakes no duty to update it for future events or circumstances. For more information, please refer to the risk factors discussed in our most recent Form 10-K filed with the SEC for the year ending December 31, 2021, and our Form 10-Q to be filed with the SEC for the quarter ending June 30, 2024. Great. With that, let's get started and I'll turn the call over to Mark Gansi, our CEO. Mark?
Marc Ganzi: Thanks, Devin, and welcome everyone to our second quarter of 2024 business update. I appreciate the opportunity to outline some of the compelling progress we've made year-to-date, building and scaling DigitalBridge. As you'll see today, we've made tangible progress across many of our key 2024 priorities, particularly around capital formation linked to the AI infrastructure ecosystem. So let's get started. First and foremost, number one, financial performance. Delivering pure leading revenue growth with expanding operating margins is central to the DigitalBridge investment thesis. We've delivered that growth this quarter with management fee revenues up 18% over the prior year along with growing margins. Tom will walk you through the financials later in this call. Second, as you know, the key driver of these management fees and fee-related earnings over time is new capital formation. Here, our AI-powered data center vertical is increasingly a key focus for our global limited partners. It's underpinning strong capital formation across debt and equity markets to support the growth of our portfolio and it's catalyzing new investment solutions. This is where our position as the largest private manager of data centers globally really matters. I'll walk you through why this is important to us today. Number three, we're well positioned to meet our annual fundraising and financial goals for the year with $3.4 billion in new FEEUM raised through today, directly in line with where we were last year on our way to $7 billion in new capital formation. And we're heading into a seasonally strong final four months of the year. I have high conviction we'll meet and exceed our targets here. So let's begin by highlighting the capital formation across our portfolio year-to-date and how that drives value creation at DigitalBridge. Next slide, please. This slide highlights how capital formation in 2024 is being driven by strong limited partner demand for AI levered data center platforms. When you look across the $14 billion in equity and credit we've raised so far this year, about 80% of that is earmarked for investment across our data center platform. That includes fresh FEEUM the fuel investment in new platforms, anchor co-investments that boost our firepower and generates carried interest, and credit financings to support CapEx, both in our -- in the form of long-term debt and ABS securitizations, which we've historically used to drive down our borrowing costs over time. Credit and equity markets want to partner with DigitalBridge to support the growth of our ecosystem. We've highlighted a few notable financings year-to-date, including Switch, Databank, and Vantage, which placed a $3 billion green loan earlier this year to fuel our North American expansion. We've also been very active in co-investment, supporting the growing equity needs of our platforms with Scala, Vantage, and Switch all bringing in new investors to support their continued growth. Bottom line, we've got an incredibly dynamic portfolio that continues to grow and attracts capital. Next slide, please. To understand why limited partners, and more broadly, capital markets are allocating to DigitalBridge, you have to understand our unique data center footprint and our differentiated vision for the evolution of AI infrastructure. First, let's start by profiling the largest global private data center portfolio today, diversified across six platforms with exposure to the fast growing segments of the data center market. Today, we have 4 gigawatts of capacity available across 173 data centers. We cover 84 markets globally across 75 campuses, that's over 20 million square feet of data center capacity. As you can see on the left, we own platforms that serve the largest public cloud hyperscale workloads. The private cloud, where you also see significant AI training deployments today, and all the way to the edge, which will play an increasingly important role as generative AI applications proliferate to the edge. This is a diverse set of high-quality market-leading platforms. And look, we're ready to expand significantly to over 7.5 gigawatts within the next five years, nearly double where we stand today. That's another 93 data centers in development, which equates to another $35 billion or so of development CapEx that DigitalBridge is going to deploy across these six powerful platforms. These are larger, highly densified data centers architected to serve the AI economy and AI workloads. This portfolio and development pipeline uniquely positions DigitalBridge to serve AI's cloud trained, edge delivered future. Next slide, please. Let's put that investment and opportunity into context. As many of you know, AI infrastructure investment is re-accelerating. After 10-years of cloud investment that took CapEx from $25 billion to over $150 billion and created a market that generates over $300 billion in annual service revenues, generative AI has catalyzed to an inflection point, re-accelerating investment across leading hyperscale technology companies, upwards of $250 billion per annum. This is up nearly $100 billion from last year. We believe generative AI will drive the next 10-year plus CapEx cycle. So as you see, while it's early days, we stick to our core thesis. You've heard this before, follow the logos. And it's the customers, the ones with the deepest insights into generative value breakthroughs and their implications, the demand trajectories they're seeing for new services and new markets. And ultimately, the investment and the return on that investment that they're seeing today across their investments with a principal focus on AI infrastructure. On the left, we pulled a few quotes from some of the companies from their 2Q earnings, talking about their commitment to invest and the early results they're seeing in generative AI. We've seen this cycle play out before in public cloud. So let's rewind the clock. Was it a good idea for Amazon, Google, and Microsoft to invest in public cloud 10-years ago? Next page, please. I highlighted the breadth of our platform earlier when I outlined our global data center footprint. This slide captures why that breadth is relevant to an evolving data center ecosystem. And this is truly why you need to have a diversified portfolio, a portfolio of assets that meet the critical needs of our customers. You see, single platform businesses don't address many key customer workloads. A diverse set of solutions is required, all the way from public cloud to the private cloud that serves AI training to smaller workloads at the edge where AI inference happens. One of the interesting evolutions across our portfolio is we're increasingly seeing some of the same customers that typically operate at a men's scale or on a highly distributed basis, look to add capacity across the ecosystem, whether that's hyperscalers increasingly building capacity of the edge or enterprises developing large scale campuses to handle their generative workloads. Understanding how workflows and workloads evolve from the public cloud all the way through to the connected edge is another aspect of following logos. Where our customers are telling us exactly where they need to be, we have the facilities, we have the capacity, we have the platforms, and the management teams to meet those demands on a global basis. This makes us extremely unique and very differentiated in terms of our approach to investing in AI infrastructure and data centers. Next slide, please. By the way, when we talk about a vision for AI infrastructure, it's not just about architecting a diverse portfolio of data center businesses. AI infrastructure isn't just data centers. It also includes fiber. It includes mobile infrastructure like cell towers and small cells. And in addition to that, ran hubs like edge infrastructure. You're going to see a lot more attention paid to the middle and last mile of connectivity and compute over the next few years as those generative AI applications and workloads proliferate to the edge. When these trained LLMs and applications, which are embedded in AI, are deployed at scale across enterprise and consumer markets, the rest of the network becomes critical. Owning the middle and last mile is going to become increasingly valuable. Another area where we are already a market leader. Operating a top five independent global tower portfolio including companies like Vertical Bridge, the largest private cell tower operator in the United States, European tower companies like GD Towers, and Belgian Tower Partners, our global network spans to Latin America. We have Highline, ATP, MTP, and to Southeast Asia we have EdgePoint. In fiber, which is AI's connective tissue, companies like Zayo, one of the leading fiber providers here in the U.S., is helping hyperscalers stitch together their campuses, optimizing AI training and positioning them for inference when AI moves to that phase of generative AI. These are just a few examples of why understanding how the AI ecosystem fits together and owning those assets is mission critical in terms of delivering for our customers. It's what makes the portfolio and our platforms that we are building even more unique and relevant. This is the benefit of being the digital infrastructure specialist, knowing not just what's happening today, but understanding what's coming around the curve. Next page, please. Now that I've given you some perspective around our diversified global digital infrastructure portfolio, I'd like to cover how we ultimately fuel that growth, which is led by the formation of New Capital, new FEEUM across our multi-strategy asset management platform. We laid out an ambitious target this year around new capital formation and I'm pleased to report we remain firmly on track to deliver. Particularly as we head into the seasonally strong last four months of the year. Through today we've raised $3.4 billion year-to-date. Interestingly it's exactly in line with where we were last year when we went on to deliver $6.9 billion in the calendar year. Capital formation has been balanced across our flagship strategy, co-investment, and new emerging strategies, particularly credit. We feel very positive about the rest of the year with a pipeline of over 400 plus engaged LPs with increasing granularity around where we expect the balance of our target to come from. A little over 50% should come from DigitalBridge Partners 3, our flagship fund product, where we have a programmatic capital formation process in place that I'm going to describe in a subsequent slide. Our emerging strategies, credit, core, and liquid should constitute around 20% of the capital. And what we're seeing today is that credit has really strong momentum, and our liquid strategies are generating significant alpha. Co-investment should represent about 25% of our remaining capital formation, driven by strong investor intent around supporting the continued expansion of our data center platforms. Next slide, please. So when we look at the strategies that are driving that path to meet and beat our capital formation targets, I want to highlight a new co-investment vehicle that sits at the intersection of two key pillars of our fundraising strategy, expanding our investor base and expanding our investor solutions. At Investor Day, we outlined how building a multi-strategy asset manager meant creating new pathways to connect LPs that want exposure to digital infrastructure with the growing demand that we're seeing across our ecosystem. Also, many of you asked us about our plans for the private wealth channel, given the intuitive appeal of digital infrastructure to that investor base. Well, earlier this year, we architected a co-investment vehicle to catalyze the private wealth channel with a new investment solution. It's a data center sidecar that deploys capital across multiple data center platforms managed by DigitalBridge, supporting greenfield data center development at our portfolio companies. For the private well channel, it's a diversified data center exposure that the clients want. And for DigitalBridge, it's a new source of FEEUM growth. And for our portfolio companies, it's a new source of capital to fuel their buildout. We're very pleased with the velocity and traction around this vehicle. We think there's a lot more to do here, both in the private wealth channel and within diversified data center investment solutions. Bottom line, we're architecting new investment solutions that give investors direct investment to AI-driven data center growth, which is what our private clients want and what LPs want today. Next slide, please. Another factor that underpins our conviction around achieving and exceeding our year-end capital formation targets is our structured capital formation process. This slide looks specifically at DigitalBridge Partners 3, where we've closed on capital commitments exceeding $4 billion since its product launch. On the left-hand side, you can see we've had strong participation from existing LPs. These are the re-ups that represent around three-quarters of capital committed to-date, as well as a little over a quarter coming from new logos. It's a ratio that's exactly in line with our initial strategic plan. As we continue forming additional capital, we expect new logo contribution to grow their share over time as we close in on our final target. We've also detailed the geographic composition of our LP base, which is anchored to-date in North America and Middle Eastern capital. Europe is starting to come back online, and Asia Asia-PAC is a growing part of our capital formation strategy going forward. In the right-hand side, you can see where we've got a very specific group of key LPs that we expect to anchor our fundraising as we progress through the end of this year and the beginning of next. This structured capital formation process and the interest we're seeing from LPs and exposure to DigitalBridge and the thematics that we've levered is what ultimately gives us conviction that we'll deliver on these targets. Next page, please. Success in capital formation ultimately drives financial performance over time. As we move closer to hitting our fundraising targets, our fee revenues and earnings continue to scale. Here, we have laid out an illustrative example of how we'll build on our year-to-date earnings into the second-half of 2024, with higher fee income in the second-half of the year driven off of a higher capital base and contribution from catch-up fees, which structurally tier higher over the course of the year. I wanted to outline three factors that create a path for us to hit our 2024 FRE guidance. First, year-to-date, we've delivered $46 million of FRE. Second, if you strip out the catch-up fees from Q2, about $3 million, and annualize it over the next two quarters, that's an additional $46 million of FRE. Really think of that as the second-half base of our earnings. Number three, on top of that, you'll see contribution from a higher fee base that drives higher revenues, which flows into FRE. And in addition, we'll earn catch-up fees on DigitalBridge Partners 3, which will increase materially as the year progresses. The later the commitment, the larger the catch-up fee. It's a simple algorithm. New capital formation drives higher fees and earnings. And for this year in 2024, it is a bit back-end loaded. So, for more financial detail on the quarter, let me turn it over to Tom. Tom?
Tom Mayrhofer: Thanks, Mark. And good afternoon, everyone. As a reminder, this earnings presentation is available within the shareholders section of our website. Starting with the second quarter highlights, our key operating and financial metrics have seen significant year-over-year growth. Fee revenues, fee-related earnings, and distributed earnings have all increased meaningfully, as compared to the second quarter of 2023. We generated $26 million of fee-related earnings in the second quarter, which puts us at $46 million of FRE for the first-half of the year. As Mark just walked through, the $1.2 billion of capital raised in the second quarter and continued fundraising success early in the third quarter provides us with a path to achieve $150 million of FRE for the full-year, which would be within our guidance range, albeit at the low end of that range. We also generated approximately $20 million of distributable earnings in Q2, which largely was a result of recurring asset management operations with a contribution from principal investments, as well as the reduction in interest expense from the extinguishment of the 2025 senior notes. Turning to the next page, our fee-earning equity under management is $32.7 billion as of June 30, a 12% increase from the same period last year. This growth is driven by capital formation in the DBP series, co-investments and credit strategies. In the first-half of 2024, we raised $2.3 billion of fee paying commitments. And as Mark mentioned, we've already had a strong start to the third quarter and are confident in our near-term fundraising pipeline as we look forward to the rest of the year. Moving to the next page, which summarizes our non-GAAP financial results, the company reported $79 million of fee revenue in the second quarter, marking an 18% increase from the same period last year. As we look to the second-half of 2024, we continue to anticipate additional fee revenue growth, including catch-up fees driven by fundraising for DBP 3, which had its initial closing on November 1 of last year. The $26 million of fee-related earnings in the second quarter represented consistent and positive growth any way that you measure it. It's a significant increase both year-over-year and sequentially over the first quarter of 2024. Additionally, this puts LTM fee-related earnings at $90 million, the highest that we've reported over any 12-month period. We also continue to see steady and consistent improvement in operating margins as growth and revenue exceeds compensation and administrative expense growth. Our margins increased from 32% to 33%, when compared to the second quarter of 2023, and from 24% to 31% on an LTM basis year-over-year. We expect this trend to continue as we raise additional capital over the next several quarters. Turning to the next page, which summarizes our carry interest and principal investment income, we reported a carried interest allocation of $288 million in the second quarter, which after associated compensation expense and non-controlling interest resulted in net carried interest revenue to DigitalBridge of $75 million for the quarter. As a reminder, the company accrues carry interest based on quarterly changes in the fair value on a mark-to-market basis of the investments held across our portfolio of funds. Principal investment income, which is primarily income earned on the capital invested alongside our limited partners was $14 million in the second quarter. Moving to the next page, fee revenue and fee-related earnings continue to grow, driven by new capital formation and deployment of the existing fee-paying capital under management. The chart I think highlights the stability and consistency in growth both in revenues and margin as we present those here on an LTM basis. While the LTM margin has been flat for a few quarters, with the current quarter coming in at 33% and our belief in expanding margins over the remainder of the year, I expect that this chart will show continued growth in LTM revenues and LTM margin over the coming quarters. We've also introduced a fee earning equity under management role forward this quarter, further aligning our disclosures with our peers. The second quarter saw $1.2 billion of inflows, primarily capital raised in DBP funds and co-investments, offset by $1 billion of outflows, principally related to additional closings on our Vantage data center transaction as we continue to transition ownership of this asset from our legacy separately capitalized vehicle structure into our latest flagship fund, DBP, and associated co-investors, which extends our exposure to Vantage data centers through its next phase of growth. Turning to the final page of the financial section, you'll see that the company continues to maintain a strong balance sheet with $1.3 billion of capital invested alongside our limited partners and ample liquidity, while continuing to delever the balance sheet. As discussed on our Q1 call, the company completed the exchange and redemption of 100% of the outstanding 2025 exchangeable notes during the first quarter and early part of the second quarter, leaving the securitized notes at an interest rate of 3.9% as the only outstanding corporate debt. We continue to evaluate the appropriate capital structure for the business, including the preferred stock obligations. Corporate cash, as of June 30 was $127 million, with total current liquidity at $427 million. With that, I'll wrap up the financial results section of our presentation and we'll turn it back to Mark for his final remarks.
Marc Ganzi: Thanks, Tom. One of the items that Tom addressed on the Fee and Roll Forward was the DPI we generated by the Vantage transaction, which drove realizations up in the first-half of this year. This is a very important part of our job, and to be direct, it's our fiduciary duty to our limited partners globally, returning capital and creating the right outcomes and great returns. In turn, this allows us to raise new capital around our best high conviction ideas, which are now materializing in our DigitalBridge Partners 3 flagship fund. The Vantage transaction not only created value for our pre-existing LPs in terms of DPI, but it created an opportunity for us to reinvest in Sureel and its best-in-class team side-by-side with our global limited partners and a seasoned investor in Silver Lake for the AI opportunity ahead, retaining the platform and focusing on long-term value creation. Starting with some background, as you can see here, over the past eight years, DigitalBridge has helped Vantage scale from three campuses on the West Coast of the United States with less than 100 megawatts to today with capacity over 1.5 gigawatts of in-place capacity across 30 plus campuses worldwide. This is an incredible growth story for a market leader in hyperscale data centers. To achieve this, we've leveraged our operating DNA, our business building heritage, to scale a global data center platform serving the world's largest technology companies. Next slide, please. As you can see here, the reality is we're just getting started. That was just Stage 1. There's a $30 billion growth opportunity in AI data center infrastructure. To support that, DigitalBridge led a $9.2 billion equity investment in partnership with Silver Lake and our Global LPs to support the company's next leg of AI-led growth. In fact, the transaction was upsized by 40% driven by strong investor interest and the need for customers to solve a persistent industry-wide supply-demand gap. In Stage 2, we're going to build and scale another 3 gigawatts of capacity by 2030. This represents something on the order of about 5% of the total global capacity expansion over that period. We believe this demand forecast will prove to be conservative based on the conversations that we and Vantage are having with our customers. Look, it's an incredible opportunity, catalyzed by the track record that Sureel and the Vantage team have built, delivering for the world's largest hyperscalers. And the key phrase there is delivering for our customers. There is massive growth ahead and we want digital rich shareholders to continue to participate in the next phase of value creation advantage. And that we're going to drive together. Next page please. So in addition to supporting the next leg of Vantages growth with fresh capital the transaction also has a number of strategic creation benefits for the DigitalBridge shareholders particularly those with a long-term view. If you take the short-term view the transaction resulted in a $1.2 million reduction in our FEEUM in the first-half of this year as the asset moved from a separately capitalized portfolio company where we earn management fees into DB3, where we already are accruing management fees, so there was no corresponding increase in committed capital. For investors with a long-term view, consistent with the DigitalBridge focus on maximizing value, there are three key strategic benefits to this transaction. First, we extended our ownership and fee stream tied to the premier global hyperscale data center platform. Vantage is the global leader and the partner of choice to the world's largest global technology platforms. Second, this transaction supports capital formation in two ways. First, it generated DPI, returning capital to our LPs, freeing them to unlock new commitments. Second, new LPs that participated in the $2.2 billion of co-investment get to see the best AI levered assets are being populated into our new flagship fund. It's really a double win on this front. And lastly, carried interest. In the previous ownership structure of Vantage, our public shareholders did not participate in the carried interest. It was in a legacy DigitalBridge vehicle that predated our public format. Now DigitalBridge shareholders will participate in the carry as we scale Vantage 3 times from 1.5 gigawatts to over 4.5 gigawatts by 2030. If you share that long-term perspective that we take at DigitalBridge, you understand that this transaction results ultimately in executing a unique asset management trifecta. Happy legacy LPs, happy new LPs, and happy DigitalBridge shareholders as we accrue value from new management fees and carried interest contribution over time. Next slide, please. I'd like to finish today outlining some of the key priorities that we've delivered year-to-date and look forward to five key focus areas for us over the course of the rest of the year. First, in terms of what we've delivered, management fee revenue and fee related earnings are both up over 20% year-over-year with expanding margins. Delivering financial performance for shareholders is critical. Number two, we formed over $14 billion in capital to support AI infrastructure growth across our platforms, including $3.4 billion in new FEEUM. This was a tremendous achievement in the current environment. Number three, we launched a new private wealth product to invest directly in AI data centers. This is what LPs want, and we're delivering for our shareholders with new innovative ideas, new products, and FEEUM. Number four, corporate governance advances with a new board member in Ian Shapiro, who's got deep power sector and investment management experience that supports our focus on the data center alternative power opportunity. I want to continue to remind shareholders that we remain committed to rotating our governance. Fresh governance and ideas in the boardroom are critical to our plan and commitment to you our shareholders. Finally, we've reinforced our position as the leading global asset manager in AI and digital infrastructure with portfolio AUM up 17% year-over-year to $84.5 billion. So let's look ahead and what I'm committed to delivering for you, our shareholders, in the second-half of 2024. First, we want to continue to deliver pure leading management fee revenue growth and operating margin expansion. This is what you'll hear from me first and foremost in the back half of this year. Next, we want to successfully meet or exceed our $7 billion in new FEEUM target across our multi-strategy asset management platform this year. We delivered a solid number in the first-half. We're poised for success in the back half of 2024 with a deep pipeline of active accounts pursuing our investment management products from flagship to credit to new ideas to co-investments. The key here is the multi-strat approach to fundraising is working at DigitalBridge. Third, we want to accelerate FRE growth into the back half of 2024 as new equity commitments and investment solutions take effect. And number four, as always, we want to continue to maintain a strong balance sheet and liquidity position. This has always been a core focus of mine. And finally, we're continuing to evaluate strategic M&A opportunities centered around adjacent asset managers that would show immediate per share accretion to our platform. So that's what I'm focused on as we head into the back half of this year. We've accomplished a lot in 2024, but we have a lot in front of us, and it's all there for us to execute successfully. We remain confident as a team in executing these goals and targets for you, our shareholders. I look forward to sharing our progress next quarter as we maintain our market position as the global leader in this dynamic sector. With that, I'll turn over the call to the operator for Q&A. Thank you.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Ric Prentiss with Raymond James. Please go ahead.
Ric Prentiss: Hey, [Indiscernible] everybody.
Marc Ganzi: Hey, Ric, how are you?
Ric Prentiss: Good, thanks. Hey, two quick ones on a very busy earnings day. On slide 22 it shows obviously the inflows, the outflows, and end-to-period balance. As we think about DPI and appreciate Vantage obviously has been a good opportunity to fulfill your commitment to the LPs on an important job of returning capital to them, but how do we think of where that the inflows, it sounds like we're headed towards $7 billion if we think of 24 column on that slide. Where are DPI's headed and where's the ending balance at year-end ‘24 do we think for that that slide as we think about year-end?
Marc Ganzi: So you had two questions I'll answer that one and I don't know if there's a one behind it Ric, but they're all smart.
Ric Prentiss: They are. Of course.
Marc Ganzi: Good. Good. So we were delighted to get the vantage transaction done. You know, it was a real seminal transaction for us. We're not at liberty to describe exactly which portfolio companies might be involved in a strategic transaction. But what I would say is, you know, we feel reasonably good about our fundraising. In fact, we feel very good about it and we do feel good about perhaps returning a little more capital back to investors this year, but DPI has been exactly where we'd like it to be. But I think if you look at the beginning period balance and, you know, end of period balance, I think where we're sort of guiding you to based on the 150 target is somewhere between, you know, $34 billion to $35 billion in that range in terms of an ending balance on FEEUM rolling forward. So perhaps a little bit more outflows but certainly Ric in the back end a lot more inflows would be my sort of conservative prediction to you.
Ric Prentiss: Okay cool and then of course there was the follow-up on slide 12 where you hit home the kind of where the AI infrastructure is going and it's not just data centers fibers on there as well first data center second fiber, third tower small cells. There's been a lot of discussion this earnings season about convergence. Wireless with fiber. There's been a lot of private equity involvement between mobile carriers and fiber operators. A lot of discussion on fiber to the home. Update us Marc on your insightful wisdom on how's fiber going to play out here? Is fiber to the home important? Is it really enterprise fiber? And what is private equities kind of role in this space?
Marc Ganzi: Well, look, I would just say that, you know, our conviction call as a firm is that we believe, you know, all fiber is an important part of the ecosystem and is the connective tissue that binds it all. And if you believe that a tower or a small cell or an in-house Wi-Fi 6 node is the ultimately delivery mechanism for generative AI to the edge, on the other end of every antenna, Ric, you know is a fiber connection. So whether it's home, whether it's enterprise, whether it's what I would call metro, or what I call long haul sub oceanic cables, transport. What we're seeing is we're seeing strong growth across all of the aspects of fiber. We own all of those kinds of businesses. We own businesses that deliver fiber to the home. We have wholesale businesses that stand up, you know, cable operators and provide transport for them for their fiber to the home services. Certainly, we're quite strong in enterprise. We're really strong in transport and long haul. And data center connectivity is really important. As we highlighted earlier in the call today, we're really busy in terms of building data centers, Ric. I think you understand how many data centers we have in flight today. All of those data centers need multiple redundant paths of fiber and dark fiber. So as you can imagine, we are seeing that convergence, of course, because when you own six data center companies, you own multiple fiber companies, it really provides you with the opportunity to have multiple conversations with your customers. So this is really where Switch and Data Bank and Vantage really have a competitive advantage, because they're building so fast and at such a huge scale. We have enormous control over what fiber goes in and out of our data centers. So I mean, I think -- I can't be a little more surgical than that. I mean, certainly we can continue the conversation as the year goes on, but as much as AI data centers are growing, the connective tissue that binds all of that is also growing. So we're seeing an uptick in fiber demand, and I think that's pretty consistent with what you're hearing in this earnings season.
Ric Prentiss: Great. Appreciate it, guys.
Marc Ganzi: Thanks, Ric. [Operator Instructions] The next question comes from Richard Choe with JP Morgan. Please go ahead.
Richard Choe: Hi, thank you. Just wanted to ask, I mean there's a lot of demand for data centers and you're building a lot. I think there's some concerns that maybe the demand won't last as long as some people think. How far or how long do you see the demand cycle kind of going on and are you worried that there might be a level of overbuilding going on in the next few years?
Marc Ganzi: So I think, hey Richard, it's Marc, how are you? I think what we did see inside of this particular quarter, Richard, and what we've seen through six months of activity is, and I think we highlighted this on page 10, CapEx is up, it's not down. So a leading indicator when, whether it's a data center development, tower development, fiber development, is when CapEx starts trending down at our core customers. Instead, we've seen actually the converse of that. We've seen CapEx accelerate. I think what's different about this data center cycle versus the last time the industry was overbuilt is, I know for just, you know, I can only speak for the six platforms that we own and the 93 data centers that I have in construction. I've got leases on the end of every one of those data centers. That was not the case when we had the last data center recession, Richard, if you recall back in 2009 and 2011 when people were speculatively building data centers and they got caught with inventory that wasn't leased. Everything we're building, Richard, has a customer. That's for DigitalBridge. That's the 90 plus data centers that we're building. And that's the $35 billion of AUM that we're adding. And the incremental 3.5 half gigawatts of power we're lighting. I would say one other factor, Richard, you've got to keep your eye on is, do you actually have the power attached to those data centers. That, to me, is actually a more interesting topic of discussion that you and I can explore when we spend some time together next is every one of the 90 plus data centers I'm building has a will serve letter and has power attached to it. Whether it's direct power into the grid, whether it's renewable power through the various partnerships we have, you know, everything that we're lighting has a lease and has power and has a building permit. And if you've got those three things going for you, a will serve letter, a customer lease, and a building permit, you're in pretty good shape. So that's what we're doing. Again, I can't speak to what QTS is doing and Blackstone is doing, I can't speak to what CyrusOne is doing with KKR and GIP. All I can worry about or DLR and Equinix is what we're doing. And you know, we're doing it at a very tremendous amount of scale. I think we've demonstrated that on this call today in terms of our market leading position as the leader in global AI data centers. And I think the important thing is just learning from the lessons of the past. And having been in the sector for over 30 years, I think you see this company has taken a very disciplined approach to capital allocation, and most importantly, who we transact with and who we have counterparties with, and then the power companies that we've partnered with.
Richard Choe: That's great, and I'd love to follow-up with you later on the power side, because it seems like that's a real potential strategic advantage that other players might not have. Just a final quick one for me, it seems like the M&A environment might be getting more conducive with rates kind of stabilizing, falling down and maybe asking prices kind of coming down. I know most of your investment has been on the greenfield kind of organic side. Are you seeing I guess a better potential in organic environment?
Marc Ganzi: You know it's interesting, there are air pockets of situations where we've seen multiples retreat a little bit. But if you look at, you know, recent transaction comps, certainly, for example, if you look at the Cable One deal that was done with T-Mobile and KKR, that was done, you know, in a mid to low-20s multiple for fiber. That sort of raised some eyebrows around here. So that was a pretty good marker. Towers are continuing to hang in. We're still seeing domestic private M&A multiples between 28 and 40 times per tower. We've certainly seen some data centers trade recently. And those are still trading at effectively, you know, if it's a development platform, trading in the mid to high-5 cap rates, if it's more stabilized trading in the, you know, sort of 6 to 7 cap rate, or if it's an enterprise data center, trading at an 8 to 9 cap. But really we haven't seen a demonstrative degradation in multiples. In fact, I would offer to you that multiples have kind of hung up and held up, provided if it's a quality asset. Interest rates are still high. We haven't seen the cuts that we're looking for. As we mentioned in the quarter, we did raise a lot of debt, Richard, in the quarter, and we did raise them at pretty attractive prices, but those were securitizations where we built the book to 8 to 12 times oversubscribed. So whether it was, you know, [Extranet] (ph) or, you know, a Vertical Bridge. We had some really successful securitizations at Switch. We had another successful securitization at Databank. And we had a really successful green securitization for Vantage and a ABS transaction in Europe for Vantage EMEA. So we've been able to access the debt markets, I would say those coupons have hung in pretty steady, but certainly, as you know, being a veteran of the sector, it'd be great if we'd have a couple of rate cuts. That certainly does help our ability to buy things and it certainly helps our ability to finance new construction as well.
Richard Choe: Great, thank you.
Marc Ganzi: Thanks, Richard.
Operator: The next question comes from Jade Rahmani with KBW. Please go ahead.
Jade Rahmani: Thank you very much. The cumulative catch-up fee dynamic, I think we're beginning to understand that. Hopefully the market does as well. But does that become a headwind next year or will this phenomenon persist through DBRG's earnings so long as FEEUM growth picks up?
Marc Ganzi: I mean, catch-up fees are always going to be a part of the fundraising process. They're a little bit larger this year, given we have a large fund in the market. But there will always be typically catch-up fees when you're doing, you know, kind of fundraising. And I would also say to that, Jade, you know, one of the things that we've really been emphasizing is that this firm is not a one-trick pony anymore. We have multiple teams, multiple products, and you know as evidence this year between our data center sidecar vehicle, our expansion of our credit strategy, DigitalBridge Partners 3 and Co-Investments, we actually have multiple products in the market at the same time. And as we look around the corner to next year, give you the spoiler alert, we're going to have more products in the market focused on AI infrastructure, focused on power, and focused on the things that really matter for what we're doing to power the digital economy. We see no slowing down. We see no abatement, Jade, in the opportunities set at DigitalBridge today. In fact, we're just coming out of our strategic summit with our senior leadership team, and we have more ideas to execute, more products to launch. And when you look at the amount of CapEx that's going into AI, AI-related infrastructure, AI-related adjacent power, our swim lane Jade has never been bigger. In fact, I'll be really clear with you, our swim lane is growing and growing really fast. So this is a good quarter because it's kind of a launch point for us. It's the first time we've had more than four products in the market at the same time from a fundraising perspective. And this is really the new cadence that Tom and myself and Liam and Ben and the entire team are on now. So this is a big inflection point for DigitalBridge this quarter.
Jade Rahmani: And just on the catch-up fees, you know…
Tom Mayrhofer: Go ahead.
Jade Rahmani: You know, the longer a fund stays in the market, the sort of the bigger the catch-up fees accumulate. So we've got a little bit of that going on the second-half of this year? On the July fundraising that looked to accelerate, was that a seasonal factor that you had expected all along, or is there something changing in the market in terms of gaining steam, gaining more traction, LPs being more willing to commit capital?
Marc Ganzi: It's a really insightful question. Thank you, Jade, for asking it. It's actually all three of those things, and let me sort of unpack that for you. One, the second-half of the year is always stronger for us, Q3 and Q4, and the reason for that is people set their investment calendar, usually, as I've told you before, in April and May, and allocations start moving, you know, in June, July, August, and September. So we're really beginning to see, or particularly our LPs are returning and they're allocating. And the back half of the year is always stronger than the front half of the year, and that's what you're beginning to see. And hence, why you hear the very strong conviction of my voice and Tom's voice around our fundraising for the rest of the year. The second thing I would say is that LPs are very excited to be allocating to AI and AI data centers where you've got incredible platforms, long-term leases with investment-grade counterparties, and you're building the data centers of the future. And so when we highlighted our data center sidecar vehicle, that's a product that really has gone incredibly well. It's what investors want, Jade. They want exposure to investment grade digital AI infrastructure and DigitalBridge has that in space. In fact, again, I'll say it again, we are the largest owner and private operator of AI infrastructure in the world and that's really important. When you're the market leader and you have those opportunities, it's really exciting. The third thing I would say, Jade, that's really manifesting itself in the back half of this year is, again, our diverse set of products. We're more than just one platform now. And you're going to keep seeing this. You're going to see it in the numbers. You're going to see it whether it's in our credit strategy, our private wealth channel that we've now launched, our flagship product, our co-investment products, and other investment management products that we've been telegraphing to you that are coming. Everything revolving around the AI infrastructure economy, including power. So this is a really exciting moment for the company and we're starting to really hit our stride. And so hence why I think you hear a lot of enthusiasm in our voices.
Jade Rahmani: Thanks very much.
Marc Ganzi: Thanks, Jade.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Marc Ganzi for any closing remarks.
Marc Ganzi: Well, thank you. It's been a terrific quarter. I’d first and foremost want to thank my team. We've been working really hard to deliver these results and we're going to continue to work even harder through the back half of this year. As I told the team recently, we have a huge opportunity in front of us. And no one is better positioned to take advantage of the AI economy and AI infrastructure than DigitalBridge. Got the biggest team, got the best platforms, we've got the most assets under management, over $84 billion today and growing, and that opportunity sits at our feet and it's on us to execute it. What we promise to you, our shareholders, is we will do that. We will go forward through the back half of this year and into next year, executing against what we think is the most exciting secular opportunity that we've seen in our lives, which is the opportunity to build and be a trusted set of hands to the best logos, the best hyperscalers, and delivering AI infrastructure for the future. I want to thank you for your interest. I want to thank everyone for tuning in and we'll look forward to spending more time with you this year and as always we remain open to our investors and engaging with them. So thank you again and wishing everyone a great evening. Take care.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.